Operator: Good morning, and thanks for joining this call to discuss Equity Commonwealth's results for the Third Quarter ending September 30, 2022, and an update on the company. [Operator Instructions] As a reminder, this conference is being recorded. Please be advised that certain matters discussed during this conference call may constitute forward-looking statements within the meaning of federal securities laws. Please refer to the section titled Forward-Looking Statements in the press release issued yesterday as well as the section titled Risk Factors in the company's annual report on Form 10-K and quarterly reports on Form 10-Q for subsequent quarters for a discussion of factors that could cause the company's actual results to materially differ from any forward-looking statement. The company assumes no obligation to update or supplement any forward-looking statements made today. The company posts important information on its website, at www.eqcre.com, including information that may be material. The portion of today's remarks on the company's quarterly earnings also include certain non-GAAP financial measures. Please refer to yesterday's press release and supplementals containing the company's results for a reconciliation of these non-GAAP measures to the company's GAAP financial results. On the call today are David Helfand, President and CEO; David Weinberg, COO; and Bill Griffiths, CFO. And with that, I will turn the call over to David Helfand. Please go ahead, sir.
David Helfand: Thank you. Thanks for joining us. This morning, I'll review the company's results for the quarter as well as provide a brief update on the capital markets, our dispositions and investment activities. Funds from operations were $0.13 per share compared to $0.00 per share in the third quarter of 2021. Normalized FFO was also $0.13 per share compared to a loss of $0.01 per share a year ago. The growth in FFO and normalized FFO was largely a result of a $0.12 per share increase in interest and other income as well as a $0.01 per share increase in same-property cash NOI. Same-property NOI was up 16.8% and same-property cash NOI was 19.1% higher compared to the third quarter 2021. At the properties in the third quarter, we signed 55,000 square feet of new leases and renewals. Rents on those leases were down 3.3% on a cash basis and up 2.2% on a GAAP basis. As of September 30, leased occupancy was 83.4% and commenced occupancy was 80.8%. Turning to the balance sheet. We have approximately $2.6 billion of cash or $23 per share adjusted for the recently paid $1 per share dividend, and we have no debt. With respect to share buybacks, in the quarter, we repurchased 590,000 shares for $15 million at an average price of $25.40 per share or $24.40 dividend adjusted. Year-to-date, we've repurchased 6.1 million shares for $155 million at an average dividend-adjusted price of $24.64. Since 2015, we've repurchased a total of 22.4 million shares for $595 million at an average dividend-adjusted price of $21.73. And today, we have $120 million remaining on our existing share buyback authorization. During the quarter, we completed the 351 transaction that we discussed on last quarter's call. The transaction generated $82 million of taxable gain from two of our assets, and that gain made up a significant portion of the $1 per share special distribution that we paid on October 18. In terms of the current environment, today's debt and equity capital markets are markedly changed from earlier this year. The first half of 2022, sellers completed transactions at aggressive pricing driven by significant equity and debt availability. Today, the debt market is experiencing disruption and debt funding costs have more than doubled, with certain asset classes facing a significant shortage of capacity. Given the dearth of financing and the tepid buyer interest for value-add office, we have decided to hold the three properties we were marketing for sale for the time being. With respect to acquisitions, as we've said on past quarterly calls, we are continuing to evaluate a wide range of potential opportunities across a variety of sectors. As most of you are well aware, we've been looking for a long time. I want to assure you that showing patience has been challenging for us, as I know it's been for our investors. While we'd love to be doing deals, we have a responsibility to be thoughtful stewards of our shareholders' capital and we take that to heart. We'll continue to work to identify an acquisition opportunity that offers attractive, long-term fundamentals at a price that reflects the risk we're taking. We're hopeful the challenges in the capital markets will be a catalyst for a compelling transaction that can serve as the foundation for long-term growth and outperformance for EQC. The team at EQC remains focused, disciplined and optimistic. With that, David, Bill and I are happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Craig Mailman with Citi. Please proceed with your question.
Craig Mailman: Hi guys. Good morning. I just want to start on the acquisition environment, not surprisingly. Clearly, there's price discovery still going on and really just a lack of transactions. But as you guys are probably in a much envied position here holding on to so much cash, no debt, kind of can you just talk about what property types in this environment may look more attractive than others? Obviously, you can't sell office here, maybe office is less interesting. But as you kind of look across the property sectors, if the pricing does come in, where you think you want to deploy the capital today.
David Weinberg: Craig, it's David Weinberg. Good question, and let me just add to some of your comments as I answer. Not only do we have cash, we also have equity and OP units. So we provide a lot of flexibility in terms of the deal structure. And then in terms of where we're looking, it's across a variety of sectors, as David said, with the key being we want to find a deal that provides long-term, attractive fundamentals at a price that we think reflects the risk we're taking. So if you line them up on a spectrum, as you mentioned, on one end maybe office and I'd say hospitality, where clearly they're more capital intensive, a lot more risk in those businesses. If we were to find an attractive deal there, we would have to make sure we're getting price -- it's getting priced at a level we're getting paid for that risk compared to perhaps other sectors that we think still have strong tailwinds despite some short-term headwinds. In those buckets, I'd say, as we've covered before, industrial and single-family residential. We like both those businesses. The former, clearly we took a very good run at recently, and the latter, as we've discussed, which is hard to access that and scale. So I can't say we've circled a specific sector. I'd say we continue to look across different sectors, and we're having conversations with owners, brokers and bankers that represent a variety of asset classes as we look.
Craig Mailman: I fully understand that private market hasn't moved as much. And so -- and there's just not as much in the market there. But clearly, the public market has moved more swiftly in repricing the equity here. I mean, is that a better place to be looking today versus holding out for a bigger private market transaction?
David Helfand: I think that's a good question, Craig. It's David Helfand. Clearly, the public markets reflect what's going on more so than the private markets where sellers don't have to sort of accept the change in rates and the change in environment, at least not yet. I don't know if it's a better place to look. I think our general judgment is it's early. Things have changed pretty dramatically in terms of availability of debt, cost of debt in all sectors, and there's going to take a little time for sellers to acknowledge that. I think we're well positioned. I think we're going to continue to show patience. But hopefully we'll get a shot here to find a really attractive business that we can both invest in and then build on after the initial transaction.
Craig Mailman: And moving -- my question has been more focused on the equity side. But just looking at the debt side, there's clearly, as you said, a dearth of funding right now. I mean, from a risk-adjusted perspective, it would seem like there should be some opportunities there to either lend to people or maybe even find a loan-to-own situation maybe through some type of debt investment, maybe even in the secondary market. I mean, what's the kind of the landscape there look? And clearly, that would be less capital out the door, but it should be very accretive relative to your cost of capital.
David Helfand: Yes. A fair point, and we've discussed it on some prior calls. Sometimes a strategy of providing debt capital that turns into equity is the best way to attach, and we would be open to that. We're not going to be a lender to be a lender, but we might provide debt capital to pursue the equity.
Craig Mailman: Okay. And then just one last one, and this is maybe a little bit outside the scope here. But Sam shut down his SPAC here back in August because of the lack of deal opportunities here. And if you just look at EQC, you guys have controlled the company for a while, haven't been able to make anything work but clearly continue to keep chugging along. I mean from his perspective, what is the nuance there between EQC and the SPAC, just the stock price of the SPAC? But just kind of high-level thoughts on that decision versus letting EQC continue to run.
David Helfand: Yes. Well, you're referring to the SPAC that was designed to pursue industrial distribution businesses. Sam was the controlling shareholder for almost 30 years of a company called Anixter, which was in the distribution business. When they sold that business, Sam and the CEO decided to raise capital in the SPAC to try to find an acquisition. They weren't able to find one. Of course, you know those SPACs have a specific time frame for the use of that capital. EQC is the opposite, we have no specific time frame for the use of the capital. I think I acknowledged in my opening comments this has gone longer in the tooth than any of us expected. I think absent what's happened in the capital markets and in the economy, the uncertainty, the volatility, we probably were on a path to return the capital because we haven't found anything. But we think there's new life here, a new opportunity, and having the capital now and being patient and looking for an attractive business at a fair price seems likelier to us today than it was in the past.
Craig Mailman: Great. Thank you.
Operator: [Operator Instructions]
David Helfand: Thank you for joining us, we appreciate it, and be well.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.